Operator: Good day, ladies and gentlemen, and welcome to the Papa John’s Fourth Quarter and Full Year 2014 Conference Call and Webcast. At this time all participants are in a listen-only mode. Later, there will be a question-and-answer session, and instructions will follow at that time. (Operator Instructions) As a reminder, today’s call is being recorded. I would now like to turn the conference over to Lance Tucker, Chief Financial Officer. Sir, you may begin.
Lance Tucker: Thank you, Shannon. Good morning. Joining me on the call today are our Founder, Chairman, President, and CEO, John Schnatter; COO, Steve Ritchie; and CMO, Bob Kraut, and other members of our senior management team. After the financial update, John and Steve will have comments about our business and the management team will then be available for Q&A. Our discussion today will contain forward-looking statements that may involve risks relating to future events. Actual events may differ materially from the projections discussed today. All forward-looking statements should be considered in conjunction with the cautionary statements in our earnings press release and the risk factors included in our SEC filings. And all statements made on this call are as of today. Please refer to our earnings press release in the Investor Relations section of our website for a reconciliation and other disclosures related to our discussion of non-GAAP financial measures on this call. Unless otherwise noted, all comparisons are versus the comparable periods from a year ago. This call is being taped, and the replay will be available for a limited time on our website and in downloadable podcast format. Now, onto a discussion of our fourth quarter and full-year operating results. EPS in the fourth quarter was $0.52, up 27%. For the full year, EPS was $1.75, up 13%. Our fourth quarter revenues increased 10% versus the prior year, and our full year revenues were up 11%. We continue to see strong comp sales driving the revenue growth with fourth quarter increases of 4.1% for North America, and 8.9% for International, and full year comp sales increases of 6.7% for North America, and 7.4% for International. Revenues also increased due to a 5.3% increase in the number of units operating globally on a year-over-year basis, and higher commodity prices drove increased PJ Food Service revenues. We opened 126 net global units in the fourth quarter, with 99 net International openings, and 27 net North America openings. For the year, we opened 235 net global units, with 181 net International openings, and 54 net North America openings. On a business segment basis, operating income for domestic company-owned restaurants declined $1 million in the fourth quarter and was up $6.4 million for the full year. In Q4, incremental profits from our 5.9% comp sales were offset by the impact of continued higher commodity prices, and a significant increase of $3.5 million in auto insurance claim costs. Operating income for the North America Franchise segment, increased approximately $2.6 million in the fourth quarter, due primarily to the increase in comparable sales of 3.4%, and reduced performance-based royalty incentives. For the full year, segment income was up $6.8 million, primarily due to 6.2% comp sales. Operating income for our domestic commissary segment increased by approximately $1.6 million in the fourth quarter, due primarily to higher margins, partially offset by higher insurance costs of approximately $1.5 million. For the full year, segment profits were up $1.5 million, due primarily to higher margins, partially offset by higher insurance costs of approximately $2.6 million. Operating results for our International segment increased approximately $2.5 million in the fourth quarter, due primarily to 8.9% comps and a higher number of units open on a year-over-year basis. For the year, International segment income was up $4.4 million, more than doubling that of 2013. Again this was largely driven by 7.4% comps and was despite a lack of improvement in our China market, which speaks to the overall health of our International portfolio. John and Steve will speak in more to China in their remarks, but as we communicated earlier this year, our financial results in corporate-owned North China market did not improve at the pace we had projected during the year. For 2014, our loss has increased by $700,000, due primarily to restaurant disposition costs for 11 restaurants which hit in Q3 and was indicated at that time. Operating results were largely flat with the prior year. Effective tax rate was 31% in the fourth quarter, up 1.6% from 2013 and was 32% for the full year, up 80 basis points versus the prior year. We repurchased approximately $23 million of stock during the fourth quarter and $117 million for the year. The Company has approximately $116 million of remaining share repurchase authorization. Our free cash flow, a non-GAAP measure we define as cash flow from operations less capital expenditures, was approximately $74 million in 2014, up over $23 million versus the prior year. Our net debt position, defined as total debt less cash and cash equivalents was approximately $210 million at end of the fourth quarter. We have now rolled out FOCUS, our new POS system, to over 80% of our domestic restaurants, and we expect substantial completion of the rollout by the end of the first quarter. From a financial statement perspective, FOCUS cost reduced EPS versus the prior year by $0.02 in the fourth quarter and $0.06 for the year. As a reminder, about one-third of the FOCUS costs are one-time, and the remaining two-thirds will be recurring as they are depreciation expenses. You will notice that the press release contains our 2015 guidance. A few highlights of the guidance include EPS to increase to a range of $1.98 to $2.06, up 13% to 18%, North America comps increase of 2% to 4%, International comp increase of 5% to 7%, revenues growth of 3% to 5% which is being somewhat constrained by the decline in cheese prices on which we receive a fixed markup at our Food Service business, 220 to 250 global net units, of which about 75% will be International, and our other guidance items. Please see the press release for those. And now, I'd like to turn the call over to our Founder, Chairman, President and CEO, John Schnatter. John?
John Schnatter: Thanks Lance, and good morning to everyone. We’re glad you are able to be with us today on the call to discuss our fourth quarter and full-year 2014 results. Our momentum continued in the fourth quarter, and I'm happy to report that 2014 was an excellent year for Papa John’s. I'm so proud of our operators and team members as they continue to steadily drive the Papa John’s brand forward. In the fourth quarter, our North America system-wide comp sales were 4.1%, but more impressively, our two-year comps were over 13%. Likewise our full-year comps were 6.7% and nearly 12% on a two-year basis. These results are a clear indication that consumers continue to prefer a better quality Papa John’s pizza. Now, as we’ve spoken to you for several quarters, there's not just one individual factor that is driving our results. We simply continue to make strides in all areas of our Company, including pizza quality, service levels, marketing, IS and our digital platform. Clearly, our digital leadership position is integral to the Papa John’s growth. We continue to set the pace in the digital arena and we ended the year with over 50% of our domestic system-wide sales from this channel. And our Papa John’s Reward program continues to go strong. Now in the fourth quarter, we had three compelling limited time offers, and they performed very well. Combined with the strong creative that our marketing team, and our new agency, Grey, have developed, we continue to attract new customers and create real excitement around the Papa John’s brand. Now, I’d like to talk about our International business, which continues overall to perform very well. Similar to North America, we continue to see strong comp sales with 8.9% comps for the fourth quarter, and 7.4% comps for the year. On a two-year basis, comps are up nearly 16% for the quarter, and 15% for the year. And as Lance noted, operating income for the International business more than doubled from $2.8 million in 2013 to $7.3 million in 2014. Like many brands the strengthening of the dollar will be a bit of a headwind in 2015, but we expect continued excellent growth in sales, units and profits. As Lance alluded to you, Beijing continues to be an opportunity, and as you may recall, several of us did the third quarter call from China, when we there evaluating the market, looking at menu, marketing, and restaurant design elements as well as the delivery model versus the casual dining model. We’ll keep you up-to-date as we make improvements in this market. The rest of the International portfolio continues to perform very well, with especially strong results in UK, South America, and Middle East. We’re very proud of international, and we’ve got great momentum. With that, I’ll turn it over to Steve Ritchie. Steve?
Steve Ritchie: Hey, thanks, John. And I’ll add my congratulations to all of our franchisees and operators around the world for continuing to deliver on our brand promise. We closed the fourth quarter on a high note, delivering outstanding full year results, in spite of the significant commodity headwinds. We turned the corner into 2015 with a tailwind of strong sales momentum and more favorable commodity pricing. The fourth quarter competitive environment remained aggressive, with numerous promotional value offers, including a rebranding effort by the largest chain in the category. As John noted, our system once again responded well with excellent comps, driven by strong operational execution, robust digital advantages, and increasing brand strength. 2014 was a milestone year for domestic company-owned restaurants. Our VP of Corporate Operations, Edmond Heelan and his team of talented operators, achieved an impressive average unit volume of over $1 million. This is an exciting stat as our corporate team continues to pave the path for our franchise system to follow. In addition, our full year North America comps of 6.7% were our best in the last 15 years, and were also our 11th consecutive year of flat or positive comps, continuing on our track record of consistently delivering solid results in a variety of competitive environments. Our two and three year comps are nothing short of excellent, and we believe the pieces are in place for us to see more of the same in 2015. As John noted, technology continues to be an area that is a prime factor in growing our sales and market share. Our ongoing digital innovation investments will continue to be focused on enhancing the customer experience. Of note, we were recently rated as having the best mobile experience in a new Search Agency Report, which aligns with our robust digital growth from our mobile channel. On the digital initiatives front, we most recently added Google Wallet as an online payment method and will continue to explore further alternative payment solutions. We’ll also be releasing more upgrades to our apps and an overhaul to our current website, introducing responsive web design to enhance usability on all devices. Also on the technology front, we continue the rollout of our new point-of-sale system that began in early 2014. We expect the new system, which we called FOCUS, to have a positive impact on the customer experience, store level operations and over time to improve labor cost. As Lance mentioned, we are now over 80% complete with the rollout and on track to substantially complete it by the end of Q1. On the development front, we had a great fourth quarter with 126 net opens, including 99 on the International side. As we continue to drive sales and improve our already strong unit economics, we expect to continue receiving strong interest from perspective franchisees around the world. Turning to our International business, our strong Q4 comps also represent our 20th consecutive quarter of positive comp sales. In addition, the record unit openings in Q4 are indicative of the success we’re having throughout most of our global markets. Notably, we continue to be very pleased with our strong sales and unit growth in the UK, the Middle East and throughout Latin America. As in the U.S., quality pizza at a good value resonates with consumers. However, as John had mentioned, Beijing does remain a work in progress. On our recent trip, we conducted assessment of our current strategy and our operations model, and we’ll keep you updated on any significant changes we decide to implement. We’ve not put a timetable on turning this market around as we completed extensive market research and are testing a number of different adjustments to the operation. And allow me to reemphasize that we believe this will become a strong market for Papa John’s. And in closing, we're very proud of our strong finish to 2014. Now we’re putting that in the rearview mirror and focusing our efforts on delivering a 2015 to rival last year’s results. Our passion and commitment to delivering on our brand promise has never been stronger and we will continue to leverage our leadership position in product quality, technology and branding as we continue to build out Papa John’s restaurants around the world. At the end of the day, better ingredients make a better pizza and we believe customers can taste the difference. And with that, I’ll turn it back over to Lance for questions. Lance?
Lance Tucker: Shannon, I think we’re ready for questions.
Operator: Thank you. (Operator Instructions) Our first question is from Chris O’Cull of KeyBanc. You may begin.
Chris O'Cull: Lance, let me start with the guidance. I am struggling to see how you can expect only 13% to 18% earnings growth given the strong comp trends, the International margins you expect to improve, commodity deflation, benefit from the shares you bought last year. Help me understand, how do you get to this type of growth this year?
Lance Tucker: Well Chris, I think I’d agree in that certainly we had good strong momentum on the sales front and we will get some help from commodities in 2015. There is no question. A couple of things that I would tell you though that that are headwinds, that we are going over, I want to remind you of -- we’re going over -- ACA cost will be new, full year depreciation on the POS system with FOCUS, we do have a strengthening dollar, which could impact us $0.02 or $0.03 on the International side, higher interest cost, and then, the last thing would be on the commodity front, although there is a significant decline in cheese, remember that we do forward contract for some of our cheese, and so we don’t pay quite up to the 2012 you saw on the block last year. Nor will we pay all the way down. In all likelihood to the $1.65 to $1.70 you’re seeing this year on the block, the intent of that -- for the hedging program really is to smooth out the cost, and that’s what it’s doing. So we think we have a good, midpoint of our guidance is 15%, 16% earnings growth. I think we’ve got some potential there and as results warrant, we’ll update that guidance, but we feel pretty good about where we are throughout the year.
Chris O'Cull: Yes, just to be...
John Schnatter: Yes, Chris this is -- Chris is John. I never thought the Street would be unhappy with 13% to 18% growth, but I’ll take that as a challenge and as a compliment.
Chris O'Cull: No, fair enough. And just to be clear, Lance, your guidance does assume mid-to-high $1.60s for cheese -- for the cheese price. Is that correct?
Lance Tucker: That’s the cheese block price. That is built in. We don’t share the details though around the contracting.
Chris O'Cull: Okay. So that’s not the price that you’re all assuming to get to your earnings guidance?
Lance Tucker: That is the price that is block, and that lands right up with the futures price, which is -- we’ve talked about is what we used to gauge our cheese pricing.
Chris O'Cull: Okay. Okay. And then, just could you give us a little more color on the $3.5 million insurance claim cost? Was that -- or what was it and will it continue to increase at this rate?
Lance Tucker: Sure. I’ll give you some color around that. So basically what happened, we had worse than projected claims experience on auto insurance, both at the corporate restaurants and the QCCs. Now I don’t want to get real deep into the details, but the claims and the unfavorable trends we’re seeing resulted in a fairly significant increase in our reserves that we had to take in 2014; to your point $3.5 million in the fourth quarter on the restaurant side, $1.5 million on the commissary side. We do expect insurance cost will remain elevated, because the trends have turned against us a little bit. With that said, we do expect much less than the $5 million you saw in the fourth quarter or the $6 million it was for the year in 2015. So you’ll see the cost remain elevated Chris, but you will not see them in that $5 million or $6 million level, we don’t believe.
Chris O'Cull: Okay. Are you guys doing anything to improve the claims incidences?
John Schnatter: We are. We are. There’s a number of things we’re doing. Again, I don’t want to get into a lot of operational details, but certainly from an operation standpoint, we are -- both on the QCC side and on the restaurant side, we’re taking steps to address that I’m not going to go into exactly what the steps are. We’re also taking steps to make sure that that we see these trends coming and that we don’t have a big hit like that all in one quarter.
Chris O'Cull: So we won’t see that kind of basis point pressure on that line item in the first or in 2015 from that item?
Lance Tucker: No, I would not...
John Schnatter: Yes. Chris this is John. I would be very disappointed if we didn’t get very -- a lot better at knowing what our actuaries are going to be. The problem is not the cost. The problem was we did not -- we didn’t see it coming. And so we’ve had to put processes in place to make sure that we are a little bit more keen on what these actuaries are going to come in at. So that being said, we did put processes in 2014 that we didn’t have in 2013. They just let us down.
Operator: Thank you. Our next question is from Alton Stump of Longbow Research. You may begin.
Alton Stump: Good job. On the 4Q result. I got the [indiscernible] on guidance certainly. I think that was definitely more conservative than what the Street was looking for. As you think about fuel cost, could you help me understand how that works with driver reimbursement, if there's' any potential benefit for company-owned stores anyway, fuel costs being down so much year-over-year?
Steve Ritchie: Yes. It’s Steve. I’ll start on that and let -- Lance might want to chime in as well. But we do have a mileage reimbursement program at the restaurant level that does fluctuate based on the monthly pricing of fuel. I’ll tell you just in terms, the overall impact to the results for 2015 are going to be pretty immaterial. As we continue to look at the crude oil prices, it's looking like it's probably going to start moving back upward in the back half of 2015. I think that you look at our guidance, and we’ve even incorporated that in.
Alton Stump: Makes sense. And then just one quick question, on the food cost front, is there any assumption for pricing coming down at the store level because of cheese coming down or would you expect that we'll see by and large pricing holds [indiscernible] coming down this year?
Steve Ritchie: Yes, Alton, it's Steve again. I’ll jump on that at first. I think if you think about our pricing strategy for 2015 versus 2014, you’re going to see much of the same from a national to local pricing strategy, obviously getting some benefit, that spoke to the tailwinds of commodities, but there is going to be some labor pressure on the P&L. So as far as our strategy and our brand, you're going to see much more consistency from 2014 to 2015 on the pricing side.
Alton Stump: Yes. And then just one last question and then I’ll hop back in the queue. For the FOCUS rollout, obviously, its [indiscernible] done yet. So I'm sure you're probably still getting data back. But what are you seeing so far? Are you seeing any more efficiencies from the system, whether from a route delivery standpoint and/or a labor cost standpoint or is it just too early to tell?
Steve Ritchie: Yes, Steve again. It is still early. I will say that. We do have it rolled out into all of our corporate restaurants. So like everything that we do around here, we learn, because we got over 600 corporate restaurants. We learn a lot from those folks on really what the future looks like. Our primary focus as you heard me speaking to is going to continue to remain to be enhancing the customer experience. I think that will always be the priority, enhancing the customer experience. What we’ve seen has turned into higher sales, and you can see our history and our track record on the sale side more focused on the leverage. With that being said, we are seeing better speed and accuracy in the restaurants from the POS platform. That driver dispatching system that we use on GPS is also driving efficiency. I think the key thing for us to learn is to balance on how much of that we want to reinvest into service for the customer experience versus what long term we expect to see in labor efficiencies. With that said, as I had spoken to, I do think there we’re going to see some labor efficiencies longer term with this system.
John Schnatter: Yes and Alton, this is John. On your question on the fuel, everything we do, it runs on fuel, from harvesting our tomatoes, to the trucks on our milk, to our distributions to our drivers, everything we do runs on fuel. So the cheaper the fuel, the easier it is to run Papa John’s. No doubt about it. On your question on the ingredients, when commodities are high, our competition tend to let quality go down, by buying cheap ingredients and put lesser amounts on. This disappoints the customer, which we don’t believe in. And you can’t reduce your quality without disappointing your loyal customer base. So when commodities are high, we just -- we take it on the chin and we just continue to drive that top line. And so as you get -- you built that top line up, when commodities go down like we had now, it gets to be a really good situation, and that’s what’s happening in 2015. As far as your FOCUS question, the kids in the stores love the computer system. It is an asset, it’s more efficient, it’s very user-friendly, and it’s got a lot of intangible benefits just outside of cost that we’re really excited about. So we’re delighted with the IS team and the job they did on FOCUS.
Operator: Thank you. Our next question is from Alex Slagle of Jefferies. You may begin.
Alex Slagle: Hey, thanks. I just want to get some additional perspective on how much conservatism you bake into the U.S. same-store sales outlook and is there anything other than just difficult comparisons and it still being only February or is there some choppiness in your January-February comps that you feel warrant more conservative outlook?
Lance Tucker: Alex, this is Lance. I’ll start with that and then Steve or John can jump in. As you’re probably aware, we don’t speak to current quarter results. With that said, it's awfully early in the year. The same drivers that were in place the last 18 months or so, that have driven the excellent comps you’ve seen remain in place, but for now we’ve got some tough comparisons or whatnot. Till we get a little further down the year, we think this is a good place to start.
John Schnatter: Alex, this is John. I’m delighted that you feel that 2% to 4% is conservative. I can tell you the momentum that we had in 2014 has continued. We do have good momentum. But I'd rather under promise and over deliver. I would hate this early in the game to go out at a 6% to 8% or 5% to 7% cost number and then let the Street down.
Alex Slagle: That makes sense. Thank you. And then, I don’t know if you are prepared to say anything else, but any additional comments on the trends you’re seeing in China? I know of a competitor discussing some level of improvement in the underlying pizza and delivery business in recent quarter or so, and I just want to see if that reconciled with what you’ve seen in your business?
John Schnatter: Steve, why don’t you take that one?
Steve Ritchie: Yes. Alex, I’ll speak to it, and I'll tell you, if you think back to the third quarter, the impact from the OSI incident, and you can look at not just our brand, but certainly impact across western brands in China, there was certainly some negative pressure coming on the sales front. We’ve seeing some improvements in the trends from Q3 to Q4. I don’t want to jump too much into current quarter results, but I think we certainly have some optimism in improving the overall performance. We've just got so many things that are on the table right now in terms of talking about the research that we’re currently conducting, the testing, as John alluded to some restaurant design changes, so a number of things that will holistically really push the business forward for us in China, but have seen some improvements of recent time bridging back to the initial, really double-digit kind of declines that were experienced across all western brands in the third quarter.
Operator: Thank you. Our next question is from Peter Saleh of Telsey Advisory Group. You may begin.
Peter Saleh: I just wanted to go back to the automobile insurance claims. I’m just trying to understand what you have embedded in the guidance going forward for 2015. Is what’s embedded a moderation from the $3.5 million and a moderation to a higher level in terms of versus historical or is this -- are you assuming that the claims will return to historical levels in 2015?
Lance Tucker: Peter, this is Lance. What’s really embedded here in the guidance is it should come down from where you saw in it 2014, but will not be all the way down to the levels you saw in 2013. So I guess the other way to say that, there was a $6 million problem for the entire year, about $5 million of which hit in the fourth quarter. Without giving an exact number, what I’m telling you is the impact won’t be as big in 2015 as it was in 2014, but it will not go all the way back to 2013 levels.
Peter Saleh: Can you remind us what the level was in 2013?
Lance Tucker: Well, the numbers I’m giving you are the increment from 2013 to 2014. So you should base it off of some part of the $5 million or $6 million increase you saw this year.
Peter Saleh: Got it. Okay. And then on the revenue side, the 3% to 5% total revenue growth, can you just talk a little bit about what that implies for the commissary sales and what are you assuming on your commodity basket in general in terms of deflation for this year?
Lance Tucker: Sure, Peter this is Lance. So I’ll start with that, then let somebody else jump in if they'd like to. So the first part of that question, on the commissary, one of the things we’re expecting to see is lower cheese prices as I think everybody is seeing right now. When cheese prices are elevated the way they were in 2014, that drives literally tens of millions of dollars of revenues on the Food Service side, because we get a fixed penny markup on that. So with cheese moderating and coming back to more historical levels, you will see commissary revenues not grow at the rate you’ve been used to seeing them grow, because the moderation in cheese prices is going to be a damper on the growth. From an overall commodity basket standpoint, I would expect that we would see the overall basket come down several percent, 2% to 4%, something in that range.
Peter Saleh: Okay. And then just lastly, it seems like in January, you had maybe reinvested some of the cheese savings back into promotions, buy one-get one free type promotions. Can you talk about the appetite to continue to do that throughout the year and what kind of impact you think that might have on the margins?
Lance Tucker: Peter, I’ll start and then I’ll let Steve jump in here, but we want to stay away from talking too much about first quarter sales. John spoke and then Steve has spoken to our consistency, the momentum we have under the current structure we're in. So Steve, I’ll let you jump in from here a bit.
Steve Ritchie: Yes. Peter, its Steve. This is what I kind of said before on consistency. And if you look what we did in period one, it’s very much consistent with what we did last year. We like to look at a strong kickoff with slightly more aggressive promotional activity as we kick off the year. So you saw that in 2014, saw it again in 2015 and as I’ve spoken to, you’re going to see very consistent kind of promotional strategy in terms of pricing in 2015 versus 2014. Obviously market conditions could change, and overall approach to that, but at this time our strategy does remain very consistent.
John Schnatter: And Peter this is John. We feel very good about the margins in the first quarter and we've hedged a lot of commodities through Q3 and Q4. So you never know what the commodity basket is going to do, but -- I don’t want to tell you things are great, because you just don’t know what’s going to happen with the commodities, but margins are as good as they’ve ever been.
Operator: Thank you. Our next question is from Mark Smith of Feltl and Company. You may began.
Mark Smith: I wanted to look at Company operated restaurants in China. You're talking about the opportunities there. We did see some more closures and divestiture there. Can you just walk through your thoughts on continuing to run restaurants in China?
Steve Ritchie: Yes Mark, its Steve. I’ll start on that and I think that I'll bridge back to what we did in the third quarter. We did have a disposition of 11 units. Seven of those were closures, eight of those were the impairment. We also did have a refranchising of four restaurants. So we do think that we tackled some of the challenges on the bottom side of it using the old 80%-20% rule, the bottom 20% of some of our performing restaurants and making some decisions to really pave the path for the future there. It’s still relatively early on some of the things that we’re doing on the strategy and the research and the testing. So I don’t want to get too far out in front of it, but certainly we’ve got some things that we need to work through, I think we’ve talked about in the past that in order to consider a refranchising effort for the entire Beijing business, what we want to do is ensure that we put them on the right path from a profitability standpoint, and we’ve got the right strategy moving forward. We’ve made a number of changes over the last several years, as we’ve talked about this casual dining versus a delivery carryout model. So really -- so we’re finding some of that and that will kind of depict what we do long term in the future here.
John Schnatter: Mark, this is John. I think it’s fair to Steve’s point that the low-hanging fruit, we attacked that pretty quickly and that’s showing some progress. But China is a different market than any market in the world, and you just have to approach it with a little bit more sophistication than other markets. And what works in South America or the United Kingdom doesn’t necessarily work in China, and that’s what we’re trying to get our arms around.
Mark Smith: Okay, for modeling purposes, to not put in much for expansion from you guys in China here over the next year or so?
Steve Ritchie: Yes. Mark, its Steve. You think about China in two different ways, because we certainly have 50 stores that are corporate restaurants. But the lion's share of our business is franchise in China. We do still expect strong unit growth coming out of the franchise side of China. We’re still refining some of the development plans on the corporate side. It will be modest in 2015 on the corporate side.
Mark Smith: Maybe for Lance, I don’t know if there's anything else you can do to quantify impact from FOCUS into Q1 as we kind of finish up this rollout?
Lance Tucker: Sure, Mark. A couple of things I’d say there. So we are at the tail end. We were at about 75% at the end of the year. So I think the best way to think about that is the number ought to be relatively small in Q1. Certainly you can look at the first three quarters of the rollout that hit in 2014, and on the one-time stuff, you only saw $0.01 or $0.02 of impact. So it’ll be one-third of the impact we saw in 2014. So $0.01 or less on the one-time cost. And then the remainder will be depreciation. All the corporate restaurants are rolled out. All the development is already reflected on the balance sheet. So the depreciation you saw on the Q4 financials ought to be a very good run rate on a go-forward basis relative to FOCUS.
Mark Smith: Okay. Okay. And then last question, just to hit on guidance a little bit more on the top-line. Just looking at the comp guidance, certainly makes sense, the net unit growth makes sense. But with cheese prices being kind of down where they are and commissary maybe not, as I think you said growing at the rate that it has in the past, and then some headwinds from FX, how do you get to that 3% to 5% total revenue growth, if we’ve got commissary [indiscernible] flat?
Lance Tucker: So, Mark, I’ll give you some of that and you’re kind of -- you can do some modeling. But obviously, between the units we’re adding on the franchise side and the comps we expect there, the corporate comps, the increases on the international side, those are going to all look pretty strong as we’ve talked about, given our guidance. Commissary without giving you the exact numbers, I don’t expect it necessarily to be flat, but I do expect some of the revenue growth that you’ve seen in the past to come down a little bit just because of that impact on cheese. And so the way you get to the 3% is really build in a little less than usual for commissary and then build in your -- whatever your model is going to spit you out when you run 2% to 4% comps and unit growth on the domestic side and in the international growth as well.
Mark Smith: On the commissary, is that really a function of your contracts on cheese, that’s not going to give us that -- I think it’s a 20% kind of decline year-over-year for block price is an expectation now. Does your contract really keeps it from being a decline like that for what you will see?
Lance Tucker: It’s not so much the contracts, Mark. What it really is, is we charged a fixed markup on cheese. And we don’t disclose the actual markup. But if your pennies of cheese are down by $0.30 a pound or $0.40 a pound, whatever it is, those are revenues to the commissary, when they're present that aren’t going to be there this year. So it doesn’t have anything to do with the contracts. It does in fact have to do with the block price of cheese falling, instead of getting -- just look at the block without the markup, instead of getting 2.12 on the block, we’ll now be getting 1.67 on the block. So you’ve got -- and that is a fairly decent piece. It's under half. It's still a decent piece of commissary revenues, that's going to constrain that revenue growth a little bit.
Mark Smith: And volume will make up for not to get you at -- to get you to that 3% to 5% kind of total revenue growth?
Lance Tucker: Volume will certainly make-up for some of it and then again you have all the other pieces of the business. The commissary line is 35% to 40% of our total revenues. So the rest of revenues are in -- kind of look like what you’d expect given the rest of guidance.
Operator: (Operator Instructions) Our next question is from Chris O’Cull of KeyBanc. You may begin.
Chris O'Cull: Yes. Thanks. I just a couple of follow-ups. And one just on that last question regarding the commissary. Lance, just to make clear that the profit dollars though that the store -- that the company receives, those will still be growing at the commissary to reflect the volume increases you expect? You’re just talking about the revenue not growing as fast, because the price of cheese is falling.
Lance Tucker: Yes, Chris, that’s 100% right. We’re not changing the fixed markup. So, as volumes increase you'll see the profitability go up, which means you’ll see the gross margins look better.
Chris O'Cull: Okay. That’s perfect. And then, also do you expect G&A leverage in 2015?
Lance Tucker: We would expect a little bit of G&A leverage in 2015. We didn’t guide specifically to that. So, I’m not going to give a lot of guidance around that. Certainly we’ll make the infrastructure additions we need to make, between G&A and IS to continue to drive the business, but you should see some, a little bit of leverage in 2015.
Operator: Thank you. I’m showing no further questions at this time. I would like to turn the conference back over to Lance Tucker for closing remarks.
Lance Tucker: All right. Thank you, Shannon. Thanks everybody for being on the call, and we’ll talk to you at the end of the first quarter.
Operator: Ladies and gentlemen, this concludes today’s conference. Thank you for your participation. Have a wonderful day.